Tina Romani: Thank you. And good morning, everyone, here with me today are Neil Blumenthal and Dave Gilboa, our Co-Founders and Co-CEOs, alongside Steve Miller, Senior Vice President and Chief Financial Officer. Before we begin, we have a couple of reminders. Our earnings release and slide presentation are available on our website at investors.warbyparker.com. During this call and in our presentation, we will be making comments of a forward-looking nature. Actual results may differ materially from those expressed or implied as a result of various risks and uncertainties. For more information about some of these risks, please review our company’s SEC filings, including the section titled Risk Factors in the company's latest annual forms on Form 10-K.  These forward-looking statements are based on the information as of May 16th, 2022 and we assume no obligation to publicly update or revise our forward-looking statements. Additionally, we will be discussing certain non - GAAP financial measures. These non - GAAP financial measures are in addition to and not to substitute for measures of financial performance prepared in accordance with GAAP. A reconciliation of these items to our nearest U.S. GAAP measure can be found in this morning's press release and on our slide deck available on our IR website. I will now like to pass over to host, Neil Blumenthal to begin. Please go ahead.
Neil Blumenthal: Good morning, everyone. And thank you for starting your day with us. This is probably the first meeting many of you are having this week, so we'll try and do our best to make an engaging, and productive. And with that, I'll dive right into Q1 performance. Our team has continued to make strong progress throughout the quarter in executing on our key objectives and driving sustainable growth. In particular, we grew our active customer base, expanded our products and services offerings, opened eight new retail stores and further enhance our digital capabilities. As we walk through our last earnings call, Omicron was particularly impactful for us in Q1 given the unique seasonality of our business. We believe Omicron resulted in approximately $15 million worth of lost sales in Q1. Revenue for the first quarter was $153.2 million up 10.3% versus the first quarter of 2021 and up 18% on a three-year CAGR basis. And while Q1 was the lowest growth in profitability quarter we expect to have this year, we are proud of the milestones we achieved despite the challenging backdrop.  This quarter, we launched four eyewear collections, including our spring core collection starting at our core price point of $95, including prescription lenses, as well as our Nesso Series, which is priced at $195 and features a unique interlocking construction dreamed up by our in-house design team and produced in Italy. Across our collections, we continue to focus on delivering a range of styles and fits for different consumer lifestyles and preferences, all while prioritizing exceptional quality and value. This commitment to design and convenience inspired our new clip-on assortment, which allows customers to transform their favorite optical frames into sunglasses instantaneously, and just in time for summer. We ended the quarter with more than 2.2 million happy customers who helped fuel our growth by telling friends and family members about their experiences with us. Since day one, word of now has been and continues to be the primary way customers learned about our brand. And we're encouraged that these customers are spending more with us more than ever before as our average revenue per customer grew 11% year-over-year to $249. To continue to meet customers where and how they want to shop, we expanded our retail fleet by opening eight new stores, bringing our store count to a 169 locations at the end of Q1. This included opening our very first store in Nebraska and going deeper in key markets like Houston and Tampa, where we opened our sixth and third stores respectively. Throughout Q1, we continue to enhance our holistic vision care offering by making it even easier for customers to get an eye exam with us. This starts by adding and retaining highly engaged optometrists. We believe our optometrists love working for Warby Parker, because of our mission and culture, the career opportunities they see in front of them as part of the fast-growing brand, the competitive benefits we offer, and the work structure and environment we've created, which allows them to focus first and foremost on patient, experience and care. And we continue to see increasing sales coming out of our exam rooms.  On our last call, we shared our commitment to converting 40 of our existing stores in states, where we cannot directly employ optometrists, to a professional corporation or PC Model, which gives us greater control over the customer experience, and enables us to recognize exam revenue. This quarter, we made progress towards that goal by converting 17 existing stores to the PC Model. At the end of Q1, 115 of our 169 stores offered eye exams. And for eligible patients who prefer to update their prescription from the comfort of their homes. We're continuing to make that easier too. Leveraging first-to-market technology like our Virtual Vision Test, Telehealth app. Compared to Q1 2021, this quarter, we nearly doubled the number of vision test administered through our app. We also continue to see meaningful growth in our contact lens business, which more than doubled since Q1 2021. This past quarter, we continued to scale our optical labs in Las Vegas, Nevada and Sloatsburg, New York, which strengthens our vertically integrated supply chain and further insulate us from global supply chain pressures.  And we did all these while staying laser-focused on our customer, delivering remarkable experiences both online and offline that result in a Net Promoter Score above 80, which we believe is not only best-in-class within our industry, but also beyond it. Alongside our commitment to our customers is our commitment to driving impact. We aim to inspire other entrepreneurs and businesses to think along the same lines we do, and to serve as an example that you can indeed scale while creating impact. As part of this commitment, we announced a partnership with Eastman Chemical to pioneer a first of its kind demo lens molecular recycle program. One of the largest environmental impacts within the eyewear industry is the lack of a recycling solution for demo lenses. The [Indiscernible] lens is used in the industry to maintain frame shape and integrity while frames are in transit or on display.  Working in close partnership with Eastman, we've come up with a solution to break the material down to the molecular level so that it can be repurposed to create an acetate that is chemically and physically identical to traditional acetate and offers a sustainable solution without compromising aesthetic or performance. Currently, we are the only eyewear brand to recycle our demo lenses while sourcing [Indiscernible] acetate, making progress towards a circular solution and should lower the environmental impact of producing our frames. It's programs like this and our team's focus on driving vision for all that earned Warby Parker the top honor on top companies 2022 list of the most innovative companies within social good. Recognized in particular for our work distributing glasses to students in need through our Pupils Project program, we're honored to be recognized alongside the organizations reshaping industries and broader culture. This recognition is a testament to the dedication and important work team Warby continues to execute as part of our mission to provide vision for all.  In Q1, we continue to hire great talent across the business within our manufacturing facilities, our customer experience and retail team, our corporate offices, and our optometry team. We're proud that the retention of our full-time team members narrows out of pre -pandemic levels and continue to focus on fostering a work environment where employees can think big and have fun. Dave and I are inspired every single day by Team Warby's resilience, their creativity, and their commitment to our stakeholders. While Q1 was the lowest growth and profitability quarter we expect to have this year, we're starting to see improvements in retail productivity and have confidence in our growth trajectory for 2022, which Dave will talk more about.
Dave Gilboa: Thanks Neil, it's great to be speaking to so many of you again, and to those joining us for the first time, welcome. While 2022 began with significant and unique Omicron-related challenges for our customers and the optical industry, overall, we remain as optimistic as ever about the long-term prospects for our category and our opportunities to strengthen our market position within it. As we look ahead to the rest of 2022, we expect to see our growth rate accelerate as retail productivity continues to recover. On our last earnings call we talked about the impact that Omicron had on retail productivity, which we defined as average sales per store compared with pre-pandemic levels in 2019. In Q1 retail productivity was around 82% of pre-pandemic levels, far below where this metric was trending in mid-Q4 prior to Omicron. In April, retail productivity rose to 90%, indicating progress along the recovery curve we have observed after each wave of the pandemic; and pointing to continued recovery. We said then and continue to believe that we'll reach full retail productivity by year-end. We do not need or expect retail foot traffic to rebound to pre-pandemic levels in order to achieve 100% retail productivity.  The conversion and [Indiscernible] gains our team has driven, will enable us to get there with modest assumptions around traffic increases. In addition to increased productivity from our existing stores, we also remain on track to expand our retail footprint by 40 new stores this year ending 2022, with 201 stores. Even with this rapid growth at year-end, we will still represent less than 1% of the 41,000 optical shops open in the U.S. today. In addition to serving our customers better through our expanding retail footprint and driving adoption of our industry-leading digital tools like our Virtual Try-On and Virtual Vision Test, we'll continue to drive growth by launching new products, and scaling our existing product offerings, in particular: Progressive, Contacts and Eye Exams; all areas in which our business still represents just a fraction of the broader market. We expect our Progressives penetration to continue to increase, driving top line growth and gross margin expansion.  Progressives make up 21% of our Prescription Eyewear business, less than half of the industry average. Progressives are our highest price point and highest gross margin category, and we see a higher mix of Progressives in our stores versus online. So as retail productivity increases, we expect to see Progressive’s growth will benefit both our top and bottom-line. We will continue to drive growth in our Contacts business, which currently accounts for just 7% of our business while typically accounting for 15% to 20% of an optical retailer's sales. As many of our customers purchase both glasses and contact from us, we will continue to see growth in average revenue per customer. And we'll continue to invest in our Eye Exam and Vision Testing business.  We anticipate ending the year providing eye exams in more than a 150 of our stores, up from 107 in 2021, and we'll continue to drive innovation in the Telehealth space as we add new features and draw more awareness to our Virtual Vision Test App. Industry-wide, approximately 70% of glasses wearers purchase glasses from the same place they get their eye exam. Our business is unique in that historically, we have not been dependent on customers getting their prescription from Warby Parker. Going forward, having a more convenient exam and vision testing options for our customers will reduce friction for them and should be a significant growth catalyst for our business. Vision Insurance remains a large opportunity for us. We are currently focused on scaling our in-network insurance relationships, while also making it easier for customers to use their out-of-network benefits with us. Starting on January 4th, we became an in-network option for members of the Blue Cross Blue Shield Federal Employee Program. We're excited to make it even easier for federal government employees to purchase glasses, exams, and contacts for as little as $10. These numbers joined the million to have in-network revision plans managed by UnitedHealthcare and large employers like Timmy and Boeing. A meaningful portion of our customers use their out-of-network benefits to pay for our glasses, exams, and contacts, up and paying $0 out-of-pocket for the purchase of eyeglasses.  We are investing in a number of ways to make it even easier for these customers to use their existing benefits with us and to educate consumers that they can use their benefits with us regardless of plan. And we price our products in order to offer exceptional value to all our customers, whether these insurance benefits or not. Our $95 prescription glasses are cheaper than most out-of-pocket reimbursements. And as a reminder that unified price includes lightweight and impact-resistant poly-carbonate prescription lenses with anti-reflective index smudge and anti-scratch treatments. In an environment like the challenging world we're in, we are grateful for the inherent resilience and durability of both our industry and business model. The optical industry is large and growing and historically has remained resilient across both strong and weak economic environments.  While we can't predict what the economy will look like in the coming months and years, we do know that consumers across the U.S. and Canada will need to access the essential products and services we offered to help them see. 79% of adults used some form of vision correction and we expect that number to increase as there are several macro factors contributing to rising vision correction needs, like increased screen time and increased time spend indoors. The various waves of the pandemic have disrupted the normally consistent shopping behavior in our category. But we are confident that consumers will resume their eye doctor visits and [Indiscernible] purchases. This recovery will not be linear and will take time, but we are already seeing evidence of it like we did after prior COVID waves. We recognize that consumers have a lot on their mind. These days with high costs and ramping inflation in every part of their lives. Given the exceptional value we offered through our convenient omni-channel business model, we believe we are uniquely positioned to capture the attention of consumers searching for vision care and to serve their needs.  And we expect to be less impacted than others in the industry as the median household income for our customer base is above a $100,00. Even this past quarter where our growth as well below our typical levels, we still took market share and strengthened our competitive position in our category. As the recovery continues, we expect we will benefit differentially, continue to scale our base of happy customers, continue to take share and continuing to create impact. And now I will pass over Steve to dive a bit deeper into our financial performance.
Steve Miller: Thanks, Neil and Dave. Good morning, everyone. Let's jump right in and talk through top-line performance for the quarter revenue for the first quarter of 2022 came in at a $153.2 million, up 10.3% versus the first quarter of 2021 and up 18% on a three-year CAGR basis versus the first quarter of 2019. We finished the quarter with 2.23 million active customers, an increase of 18% versus the same period a year ago. And our average revenue per customer increased 11% year-over-year to $249. We're pleased to see continued scaling in average revenue per customer, which reflects our ability to continue to provide more value to our customers as we evolve from a glasses-only company to one that sells eye exams, contacts and eyeglasses.  As a reminder, both active customers and average revenue per customer are measured on a trailing 12-month basis. Our growth in top line and average revenue per customer for the quarter was driven by a number of factors, including a consistent replenishment cycle of our core prescription glasses offering, as well as continued progress in growing our contact lens business, which while up 400 basis points compared with Q1, still only represented 7% of our business overall in Q1 '22. As a reminder, contact lenses account for 15% to 20% of sales of a typical optical retailer. As we mentioned on our fourth quarter earnings call in March, our Q1 2022 revenue and year-over-year growth rate reflects the impact of approximately $15 million in estimated lost sales due to the effect of Omicron on store traffic and the recovery time needed for consumers to re-book eye exams and return to stores to purchase glasses.  This impact was most prominent within our stores where store traffic and productivity declined from above 90% in the weeks preceding the onset of Omicron down to below 75% in the early weeks of January. We saw a slow but steady recovery in store productivity as Q1 progressed. For the first quarter, retail productivity came in at 82% of 2019 levels. With that said, we saw retail productivity rise to 90% in April, which is roughly at ten point improvement from where we started the year. We expect to see this momentum continue as the year progresses. As it relates to our e-commerce business, for the first quarter, it represented 44% of our overall business versus 56% in Q1 2021 and 37% in Q1 2019. E-commerce revenue grew 81% in the first-quarter of 2021. As such, our Q1 '22 e-com revenue was down 14% year-over-year, but is up 24% on a three-year CAGR basis versus Q1 2019. We've experienced minimal supply chain disruption due to increased reliance on our in-house lab network and having developed a diversified network of suppliers. As additional color on a factor effecting Q1 revenue, we did want to call out a small shipping delay from the freight forwarder that temporarily suspended operations the last week in March. We were able to move quickly and transition these shipments to another supplier. And this shifted roughly $600,000 of customer delivery from Q1 to Q2. This is a good example of the resilience of our supplier base as these deliveries still reached customers within our promised turnaround time. If not for this delay at the end of March, revenue for Q1 would've been towards the high-end of our guidance range. Moving onto gross margin. As a reminder, our gross margin is fully loaded and accounts for a range of costs, including frames, lenses, optical labs, customer shipping, optometrists, store rents, and the depreciation of store build-outs.  Our gross margin also includes stock-based compensation expense for our optometrists and optical lab employees. For comparability, I will be speaking to gross margin excluding stock-based compensation. Adjusted gross margin in Q1 '22 came in at 58.7% compared to 60.3% in Q1 2021. For the quarter, we had some unique benefits. In Q1 2021 impacting comparability, as well as several operational puts and takes. Q1 2021 benefited from a Tariff rebate of approximately 25 basis points, excluding this benefit, the change in adjusted gross margin between Q1 '21 and Q1 '22 would have been narrower. With regard to the various operational puts and takes to gross margin. First, the acceleration and penetration of our contacts business as a percentage of the total was the primary driver of the decrease in gross margin year-over-year. As I noted, our contacts business expanded to represent approximately 7% of our business in Q1 '22 from approximately 3% of our business in Q1 '21.  And as we've mentioned on prior earnings calls, expanding our contact lens offering is a core part of scaling our holistic vision care offering and a key driver of increasing average revenue per customer. While contact lenses have a lower gross margin percent versus our other product offerings, they are accretive to gross margin dollars given the higher purchase frequency and subscription-like purchase cycle of this product. We're also pleased to see sales of non-prescription sunglasses improve year-over-year by approximately 200 basis points and was nearly back in line with our pre -pandemic product mix in 2019. Given sunglasses with moderately lower margins, this ultimately had some deleverage on gross margin for the quarter. Next, we saw the impact of Omicron on lower store traffic and productivity results in year-over-year deleverage in gross margin in two key areas, which are the more fixed portion of our cost of goods. These fixed elements of our COGS stack are retail occupancy and eye doctor salaries, which generally remain the same regardless of revenue.  As Q1 was impacted by $15 million in lost sales, the six portions of COGS became elevated as a percent of revenue. And we anticipate this to normalize as retail productivity returns. We added 35 net new stores over the course of the last 12 months, going from 134 stores as of March 31st, 2021 to 169 stores as of March 31st, 2022, or an increase in our store base of 26% year-over-year, which naturally leads to an increase in store rents and the [Indiscernible] from store build-outs. We saw some downward pressure on gross margin year-over-year due to the acceleration from rolling out our professional corporation or PC Model. As of the end of Q1 '22, we operated with 68 stores where we engage directly with an optometrist, where we both recognized the revenue from the exam service performed as well as the salaries and benefits for the optometrist. Of these 68 stores, 44 are in stores where we directly employ the doctor and 24 are in stores where we engage the doctor through the PC Model. This was twice the amount of stores we had at the end of Q1 2021, where we employed an optometrist, all of which at the time were direct employed models, as we did not start our PT Model all-out until Q4 '21. The majority of our PT Model stores are ones where we're converting an existing store with an independent eye doctor to the PC Model. And therefore, we'd already been recognizing a significant portion of product conversion sales at our stores from the independent doctor. As we convert these stores to a PC Model, we expect a near-term margin headwind given the gross margin on the exam service alone, are lower than our glasses and contacts gross margins. With that said, as we mentioned, we expect the PC Model will give us greater control over the customer experience, enable us to recognize eye exam revenue, and measure and see higher conversion rates from eye exams to product purchase.  We believe this will benefit us over the long term in achieving our goal of becoming a holistic vision care company. In both cases, we would have incurred these same costs with or without the $15 million in estimate as lost sales in the quarter due to Omicron. Offsetting these items was the continued mix shift of optical lab fulfillment completed at our in-house facilities in Sloatsburg, New York, and Las Vegas, Nevada. In Q1 '22, we continue to increase the percentage of orders fulfilled through our in-house labs, which has many benefits, including higher NPS, lower refund rates, faster turnaround time, and improved gross margin overall. As we mentioned last quarter, we're still scaling our second optical lab in Las Vegas that we opened in Q3 2021. And we expect this lab to reach scale in the back half of 2022, which will allow us to more efficiently serve our West Coast customers. As we continue to scale our Las Vegas lab, we expect to see more cost efficiencies, which will translate to improved gross margin. Lastly, we saw a benefit to gross margin from the expansion of our higher-margin progressives’ business, which has increased from 18% of our prescription business in Q1 last year to 21% in Q1 2022.  Next, I would like to talk about SG&A expenses. As we previously discussed, most of our improvement in adjusted EBITDA will come from leverage in corporate overhead and through continued disciplined deployment of marketing spend and strategic hiring. We're conscious of the fact that we continue to operate within a challenging macroeconomic backdrop and will continue to manage the business toward both growth and profitability. As a reminder, SG&A for our business includes three main components. Salary expense for our headquarters, customer experience, and retail employees, marketing spend, including our Home Try-On program and general corporate overhead expenses. Adjusted SG&A, which excludes stock-based compensation in the first quarter came in at $96.2 million or 62.8% of revenue. This compares to Q1 2021 adjusted SG&A a of $79.2 million or 57% of revenue, an increase of 580 basis points year-over-year.  In terms of year-over-year dollar growth, adjusted SG&A was up 21% year-over-year compared to Q1 2021 which was a slight deceleration from the year-over-year adjusted SG&A in Q1 2021 versus Q1 2020, which was up 26% year-over-year. The primary driver of the increase year-over-year and adjusted SG&A as a percentage of revenue was related to an increase in corporate overhead expenses, mostly related to costs we incurred to operate as a public company, which we did not incur in Q1 2021 and investments in our technology infrastructure, as well as an increase in salary expense for our retail employees due to the growth in our store base. Public company costs equaled roughly 1.65% of revenue in the quarter. The impact of lost sales in Q1 had a negative impact on adjusted SG&A as a percentage of revenue as these costs would have been incurred regardless. On a sequential basis, our adjusted SG&A spend in Q1 2022 of $96.2 million was moderately higher than Q4 2021 adjusted SG&A spend of $89.4 million.  We believe Q4 '21 is relevant for comparability for two reasons. One, it is the first quarter where we operated as a public company and therefore more closely reflects a corporate overhead cost base supportive of that. And two, our store count in Q4 is more similar to our store count in Q1 2022 and is therefore more reflective of the level of store-related fixed costs required to operate a larger fleet of stores. Given the challenges to store productivity in Q1 we've already discussed, we still incurred the costs to operate our larger store base and expect as retail productivity improved, we will realize additional leverage on these costs. As it relates to marketing spend, we've highlighted previously that we maintain a highly flexible model with the only committed spend at largely around linear TD during competitive periods. Prior to 2020, our marketing spend as a percentage of revenue was in the low teens, measuring at approximately 13% in 2019.  We elevated this spend to close to 20% throughout both 2020 and 2021 for reasons previously discussed, including surgeon demand for our Home Try-On program and to continue to reach customers through store closures. We continue the same level of marketing spend as a percentage of revenue in Q1 of this year. We're now back in a cadence of opening stores at the pace we were pre-pandemic. As our stores are effective marketing vehicles, this will allow us to toggle down marketing spend below the mid-teens and closer to pre-pandemic levels in the second half of the year. As we look ahead to the rest of the year, we expect to see a similar sequential trend in adjusted SG&A to what we saw in 2021, with Q2 and Q3 adjusted SG&A spend moderately lower than Q1, with an increase into Q4 to support the important holiday season and FSA expiry in December. For the first quarter of 2022, we generated adjusted EBITDA of $0.8 million, representing an adjusted EBITDA margin of 0.5%.  The $15 million in estimated loss sales, had a significant impact on first-quarter profitability, as we estimate that incremental sales flow through to adjusted EBITDA at a rate of roughly 50%. We did contemplate the impact of lost sales on adjusted EBITDA in our guidance for the full year. Despite the challenges presented in the quarter, we were pleased to still be able to generate moderately profitable adjusted EBITDA. We finished the quarter with a strong balance sheet reflecting $230 million in cash, which we'll continue to deploy deliberately to support our growth and operations. As I noted earlier, the impact of the lost sales on revenue and adjusted EBITDA in Q1 were factored into our projections for the year; and we believe the cost pressures that we experienced in the first quarter will be mitigated in the remaining quarters of the year. Therefore, for 2022, we still expect revenue to be between $650 million and $660 million, which represents growth of approximately 20% to 22%. And for Q2 2022 specifically, we're guiding to revenue growth of 13% to 15% year-over-year.  For the full year, we expect gross margins to be in the range of 58% to 60%. And with regard to adjusted EBITDA margin, we are reiterating our target range of 5.6% to 6.6% for 2022. In terms of how our overall results are breaking down by quarter, 2022 will look different than past years due to the impact of Omicron. We have historically generated strong adjusted EBITDA margins in the first quarter, followed by similarly strong margins in the second and third quarters. Q4 has typically been our lowest profit quarter or has swung to a loss as we make investments to support increased holiday buying and the exploration of flex spend. And many of these investments in Q4 lead to deferred revenue. It gets recognized in Q1 of the following year. We expect this year's performance to be somewhat in reverse order with margins being the weakest in Q1 and the strongest in Q3 and Q4 as stores return to full productivity.  More specifically, we expect Q2 adjusted EBITDA margin to be in the low single-digits. And the second half of 2022 adjusted EBITDA margins to be in the high single-digits. As we mentioned on our last call, our full-year guidance assumes continued retail recovery reaching approximately 90% of pre-pandemic levels in Q2. And at the high end of our guidance, reaching full productivity by year-end. Our guidance also assumes we maintain a consistent three-year CAGR for our e-commerce business that we observed in Q1 in the mid 20s. Finally, with respect to our outlook for 2022, we are forecasting stock-based compensation as a percentage of net revenue to be in the mid-teens compared with 20% in 2021. Stock-based compensation for both years is above our long-range forecast of the low-single-digits as the result of RSU expense associated with our direct listing and multiyear equity grants for our Co-CEOs in 2021.  In summary, we are proud of all of the progress we've made growing our business, developing our teams, and maintaining both discipline and optimism of operating through a challenging period in the world. We acknowledge that the macro environment continues to be murky, yet we are as excited as ever about the long-term prospect for the business. We provide a medical necessity that combines the price point and level of customer experience that is unique within the optical industry. We'll continue to keep a close eye on the broader environment, manage costs as needed to achieve growth with profitability, and invest in people, stores, and technology as we evolve into a holistic vision care company. Thanks for joining us on this call. We look forward to keeping you updated and providing as much transparency as we can into our performance. With that, we will open up the line for Q&A.
Operator: Thank you. We will now start our Q&A session. [Operator Instructions]. And our first question comes from Oliver Chen at Cowen. Please go ahead. Your line is open.
Oliver Chen: Hi. Thank you very much. The productivity data is very helpful. What's assumed ahead in terms of productivity levels, and what do you think will be key drivers in achieving that, as well as key risk factors? Second question, you made a lot of progress within network customers. Just would love to hear about the opportunity ahead regarding insurance and what's happening in the consumer experience, and also the demand you're seeing from employees. Thank you.
Neil Blumenthal: Thanks, Oliver. I'll start. This is Neil. We see continued strength in retail productivity throughout the course of the year. One of the things that we are particularly excited about is the new stores that we opened in 2021 reaching maturity. So we opened 35 stores in 2021. That was an increase of store count by 28% in 2020, right in the depths of the pandemic where we only open seven stores or increased store count 6%. And the majority of those new stores that we've been opening are in suburban areas. So as we think about retail productivity, increasing rates, not only the U.S. consumer returning to normal habits and visiting shopping centers. But our store fleet has been shifting from urban to suburban. And one of the things that we shared during the last call was that we saw last year 15 point differential in retail productivity from our urban locations to our suburban locations. We've now seen that narrow to only an eight point spread. And we expect that to continue to narrow. But again, even if it doesn't, we now have more suburban locations than we did a year ago. So we continue to be optimistic and confident in growing retail productivity.
Dave Gilboa: And then on the insurance front, we continue to believe that insurance remains a really big opportunity for us and within the world of vision insurance, that there are distinct opportunities for us to go after; the first is continuing to expand our in-network relationships, that we're excited to add Blue Cross Blue Shield, the federal employee program, and be able to serve federal government employees in better ways where -- that those consumers can now purchase exams, glasses, contacts for as little as $10 and join the consumers who have coverage from UnitedHealthcare, employees from large employ -- from GE and Boeing. And you will see us expand our in-network options for more and more companies, and employer groups in the coming months and years.  We also believe that there is a really significant opportunity to educate consumers that they can use their vision insurance benefits with us regardless the plan, and that there often they will often be spending less coming to Warby Parker, paying out-of-pocket or using their out-of - network benefits then they would go on to use in network benefits somewhere else. And in a recent survey, we found out that most consumers are spending $130 out-of-pocket when they use their out-of-network benefits going to a non - Warby Parker provider. And those same people can often buy a single-vision glasses. From us where they would pay $0 out-of-pocket. And so in the coming months, you will see us really create a lot of education on our site and in our stores around how people can use those benefits.
Oliver Chen: Thank you. Thank you very much, David and Neil. Last question on the marketing spend. As we look ahead on the digital marketing landscape, it's been somewhat volatile with IDFA and privacy. What's your philosophy in terms of thinking about the marketing spend relative to productivity and also how -- what's you are seeing with the customer acquisition trends? Thank you.
Steve Miller: Sure. thanks Oliver. We've seen relative consistency in terms of customer acquisition trends, and that's despite seeing continued scale in average revenue per customer. We continue to want to see a separation between those two numbers in average revenue per customer and average growth in customer acquisition costs. What we did call out earlier is that we elevated with intention throughout the pandemic, our marketing spend as a percent of revenue from 13% in 2019 to almost 20% in 2020 and 2021, and right around 20%, as a percent of revenue in Q1 of this year. As Neil called out, we opened up 35 new stores over the past 12 months, we'll open up 40 new stores this year. Stores for us are very, very efficient marketing vehicles, and what that will enable us to do, is toggle down the marketing spend as a percent of revenue, closer to pre-pandemic pandemic levels below the mid-single-digits and closer to that 13% that we were spending in 2019.  And so I would characterize our marketing spend as very disciplined. And the way that we view marketing spend and store rollout is really in tandem with one another, as we know that stores are really, really efficient ways, not just to sell product and serve customers, but attracts new customers and retaining existing customers. And that shift in marketing spend also dovetails with our incremental profitability that we've talked about over the course of the year. As we talked about adjusted EBITDA, leverage were largely come from improvements in SG&A. And the largest portion of that is marketing spend, which would called out, we'll go from around 20% back toward pre-pandemic levels closer to 13%.
Dave Gilboa: Oliver, I'll also add to that. As we mentioned, driven our last call as well. We have not seen big impact from IDFA or the Apple privacy updates because we deliberately, several years ago, reduced reliance on paid social channels for customer acquisition. And so whereas we hear from many other companies that that continues to be a challenge, that has not been a challenge for us. We've also historically seen that when we bring down marketing spend, we find that marketing efficiency increases. So that has potentials of tailwind for the rest of the year as well.
Oliver Chen: Very helpful. Thank you.
Operator: Thank you so much for your question. Our next question comes from Paul Lejuez at Citi. Please go ahead.
Paul Lejuez: Hey, thanks guys. Could you give any more color in terms of your expectations for active customer growth for both 2Q and year versus how you're thinking about average spend per customer? Also curious if you're seeing anything in your business that you would describe as customers trading down within your assortment. Maybe not opting for certain additional features, anything along those lines. Thanks.
Dave Gilboa: Sure. Thanks Paul. So we report on active customers at the end of each quarter and each year, but doesn't necessarily provide specific guidance each quarter. Aside from Q1 which was impacted by Omicron as we've discussed, our active customer growth has generally been in the low 20's with average revenue per customer somewhere in the 5% to 8% zone. So I would expect as our business normalizes and as our stores ramp back to productivity, that we would see that consistent trend continue.
Neil Blumenthal: The other thing is we have in observed customers trading down. One of our highest value products as our prescription is our Progressives offering, which starts at $295, whereas other high-end optical chains or independent optometric practices that same product would cost significantly more. So by coming to Warby, customers are saving $100. And again, as retail productivity increases, we expect and have seen Progressives penetration increase and that's highest price product, our highest margin product. The other thing that we've observed as well is the resilience of our consumer who has [Indiscernible] an income on average, over $100,000.
Paul Lejuez: Thank you. Good luck, guys.
Neil Blumenthal: Thanks.
Dave Gilboa: Thank you.
Operator: Thank you very much for your question. Our next question comes from Dana Telsey at Telsey Advisory Group. Please go ahead, your line is open.
Dana Telsey: Hi, can you hear me okay?
Neil Blumenthal: We can.
Dana Telsey: Can you talk a little about the improving productivity at the stores that you've seen? Has it thinned in different regions, was it consistent during the cadence for the quarter, how did you see it? And then on the gross margin component with Contacts and Progressives, how did you envision the cadence going forward given the improvement in the increases in contact lenses. And then just lastly, on insurance, what are you seeing on the insurance front? And how do you expect that to progress? Thank you.
Neil Blumenthal: Thanks, Dana. On the store front, again, we tend to see a differential between performance in our suburban locations and our urban locations. So last year from a retail productivity standpoint, urban stores had 15 point lower productivity than urban locations. However, if we look at Q1, that gap has narrowed to 11 points to nine points. The other thing that we remain confident about our retail store or rollout is that our new stores that we open in the last 12 plus months are performing in line with pre-pandemic targets. So our new stores continued to perform well again, those are proportionately more in suburban locations than historically we've had.
Steve Miller: And Dana, as it relates to your gross margin question, as we called out, there are a range of puts and takes in our gross margin line and our COGS stack is fully loaded as intended. It includes frames, lenses, customer shipping, store occupancy, the depreciation of store build-outs and eye doctor salaries. And so I would look to see our gross margin consistent in the 58% to 60% zone. Generally, Q1 exhibits higher gross margin other than Q1 of this year due to the impact of Omicron and our ability to leverage fixed costs and Q4 is moderately our lowest quarter, given the fact that we make investments in the business. A lot of which are deferred as order deliveries into January, and that's recognized as revenue in the month of January.  Contacts will certainly continue to have a deleveraging effect on our gross margin percentage. But given the subscription-like nature of that particular product, that product offering will amplify gross margin dollars, which is really what we want to continue to optimize the business for. So we're really reiterating our 58% to 60% gross margin guidance for the full year. There will be some fluctuations during the year, particularly in Q1 and Q4. And as you saw what happened in Q1 this year, given the impact of Omicron, we saw fixed costs become a larger portion of revenue, which added some deleverage to our story for Q1. But as store productivity comes back, those fixed costs will continue to be leveraged.
Dave Gilboa: Would also just add that from a product mix standpoint, we tend to see a higher percentage of contacts mix from our online orders and a higher progressive mix from our store transactions; and so given the impact of Omicron and its particularly detrimental impact on store productivity, that balance between contacts and progressives, which had opposite impact on gross margin, is not the mix of transactions that we would expect in a typical quarter. And then on the insurance front, we're seeing really promising trends. In particular, for our customers who have a network coverage through plans that were part of where that cohort of customers is growing faster than our overall business. And so we're excited to be able to expand some of those efforts with this federal employee program and other employer groups that we are hopefully able to add soon.
Operator: Thank you so much for your questions, Dana. Our next question comes from Mark Altschwager at Baird & Co. Please go ahead. Your line is open.
Mark Altschwager: Hi. Good morning. Thank you. So your revenue guidance -- your guidance assumes revenue acceleration through the year, which is different than the seasonality the company has seen historically and similar on the profitability guidance. Is this assumption based primarily on the assumed store productivity recovery following the Omicron wave, or what are the other controllable factors you see that gives you confidence in that sequential build in what continues to be a very dynamic external environment?
Neil Blumenthal: Sure, thanks Mark. At a high level, there are two building blocks to bear in mind as we think about scaling, growth and productivity over the course of the year. One, we called out a few times and you certainly mentioned and that's the ramp in retail productivity back to 100% by Q4. The other is really maintaining a consistent three-year CAGR for our e-commerce business in the mid-twenties. So e-commerce, our three-year CAGR payment at 24%. And as long as we see scaling retail productivity, and as long as we really maintain a consistent e-com three-year CAGR, we will be able to achieve our top-line guidance of 20% to 22% for the full year. I would look to see how we're reporting on those two key items in particular, each time we meet here to discuss.
Mark Altschwager: Thank you and then Steve, with the direct listing, you provided some detail on customer level contribution. Can you update us on where that shook out in 2021, and what your guidance implies in terms of per customer contribution this year? Thank you.
Steve Miller: Sure. So we provided a window into our customer economics, really meant as a one-time view in how we orient and manage the business as an omni-channel business, where we really look at blended margins by customer across channel, and we don't look at things through the lens of the channel, but through the lens of the customer. Costumer contribution margins have been consistent to what we've reported. We're not anticipating providing visibility into that metric on a regular quarterly basis, but I would look for us to provide some incremental visibility into our customer economics towards the end of the year, and perhaps as part of an annual recap of performance. But suffice it to say we've seen consistency in those numbers, we don't plan to report on them regularly, but on an annual basis are planning to provide an updated view into that number.
Mark Altschwager: Great, thank you.
Operator: Thank you Mark for your question. Our next question comes from Brooke Roach at Goldman Sachs. Please go ahead.
Brooke Roach: Good morning and thank you so much for taking our question. I was wondering if you could provide some more color on the initiatives you have in place to continue to deliver consistent for year e-commerce CAGR? Have you seen any change in the customer activity among any demographic for your online business as the external macro-environment has changed? Thank you.
Neil Blumenthal: Thanks for your question. We haven't seen significant changes in the customer behavior online. What we have seen since the pandemic is increased use of our That's in class Virtual Try-On. As a reminder, this was feature that we built in-house that was food to scale. And we had to overcome a bunch of technical challenges to actually make it realistic. The ability to try on glasses virtually is quite different than, for example, trying a lipstick color or different face filters that you may see on various social channels. We've been excited by the adoption of this technology by our consumers. Similarly, we've seen a significant ramp up in usage of our virtual vision test, which was a first to the market, online vision test that enables our customers to renew their prescriptions.
Brooke Roach: Thank you. I'll pass it on.
Operator: Perfect. Thank you for your question. And our final question comes from Mark Mahaney at Evercore. Please go ahead.
Mark Mahaney: Okay. Thanks. You talked about the store productivity gap between urban and suburban narrowing. You quantified that. Could you just go into the why? What's causing that gap, the suburban productivity levels to rise to urban levels. And then secondly, talk about the steps to get through your long-term margins of 20%. And maybe Steve what I'll ask you to do is -- what are the lowest hanging fruit and what are the highest hanging fruit in order to get there? What are the easiest ways to lever the model over the next couple of years? And then what will be the harder, the more challenging but doable parts of that leverage story? Thanks a lot.
Neil Blumenthal: Thanks Mark. First, one of the things that we're seeing in our urban locations is increased traffic. It's still hasn't fully returned, and we still see elevated conversion across the entire store fleet. But we think this is due to that or whether as people in cities are spending more time outdoors, but also as offices reopen. So that's where we're seeing certain improvements in our urban locations. Expect that to continue as the year progresses.
Steve Miller: Great. And then in terms of the second question around margin expansion, as we march toward our long-term adjusted EBITDA target of 20%, we called out, that since gross margin will be consistent in the 58% to 60% zone, the real sources of our leverage are going to come from SG&A. So if COGS in aggregate is order magnitude, let's say 40%, the other 40% that we want to see is what SG&A represents as a percent of revenue. As we've talked about the three largest components of SG&A are salaries, and that's split between our corporate headquarters, our retail stores, our customer experience team, marketing spend, which includes our Home-Try-On program and what we deploy on media, and then just general corporate overhead, public company costs, what we pair vendors.  I would put up the top of list, in terms of the single easiest lever to pull is marketing spend as a percent of revenue, as we called out in Q1, that represented 20% of revenue. Pre-pandemic, that number represented roughly 13% of revenue. That number was elevated to 20% for a few factors, one, through store closures, we saw a surging demand in our Home Try-On program, and we've seen that normalize somewhat, given stores are now reopening, getting back to full productivity. And in addition,
Neil Blumenthal: 40 new stores this year, stores are highly, highly effective marketing. Maturation of stores in new and existing levels. So I would call out that as the easiest and investments we've made in our corporate overhead. The strong set of corporate functions across the board to support growth outlook for years to come. Being in corporate overhead and a smart way to support the business. We grow those costs will remain relatively fixed and continue to help us drive leverage on them. So that's how I would describe our sources of leverage and how to think about them in relative order in the context of our SG&A.
Mark Mahaney: Okay. Thank you very much.
Operator: Thank you so much Mark for your question. At this time, there are no other questions. And now I'd like to pass back over to Dave for any final remarks.
Dave Gilboa: Thank you all for joining us today and for the great questions we're very proud of what Team Warby has accomplished so far this year. And we look forward to the months ahead as we maintain both discipline and optimism while operating through a challenging period. We're incredibly excited about the opportunities that line front of us. And of course, we'll keep you informed of our progress as the year progresses. If you have any additional questions or follow-ups, please feel free to reach out to our Investor Relations inbox at investors@warby.com. Thank you.
Operator: Thank you everybody so much for joining today's conference call. You may now disconnect.